Operator: Good day, ladies and gentlemen, and welcome to the ICON Q4 2012 Earnings Conference Call. For your information, today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Sam Farthing. Please go ahead, sir.
Simon Holmes: Thank you, Luke. Good afternoon, good morning, ladies and gentlemen. Thank you for joining us on this call covering the quarter ended December 31, 2012. Also on the call today, we have our CEO, Mr. Ciaran Murray; and our CFO, Mr. Brendan Brennan. I'd just like to note that this call is webcast. There are slides available to download on our website to accompany today's call. I will now make the customary statement in relation to forward-looking statements. Certain statements in today's call are or may constitute forward-looking statements concerning the group's operations, performance, financial condition and prospects. Because such statements involve known and unknown risks and uncertainties and depend on circumstances and events that may or may not occur in the future, actual results may differ materially from those expressed or implied by such forward-looking statements. Given these uncertainties, and as forward-looking statements are not guarantees of future performance, investors and prospective investors are cautioned not to place undue reliance on such forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. This presentation includes selected non-GAAP financial measures. For a presentation of the most directly comparable GAAP financial measures, please refer to the press release statement headed Consolidated Income Statements, Audited U.S. GAAP. While non-GAAP financial measures are not superior to, or a substitute for the comparable GAAP measures, we believe certain non-GAAP information is more useful to investors for historical comparison purposes. We will be limiting the call today to 1 hour and we therefore ask participants to keep their questions to one each with an opportunity to ask one related follow-up question. I would now like to handle over the call to our CFO, Mr. Brendan Brennan.
Brendan Brennan: Thank you, Sam. Revenue in quarter 4 of 2012 was $300.2 million. This represents the year-on-year growth of 23.7%. On a constant dollar organic basis, growth equated to 23.8%. For the full year, revenue was $1,115,000,000, up 17.9% compared to 2011. Concentration levels have risen throughout the year, with the top clients representing 17.7% of revenue in 2012 versus 12.8% in 2011. Our top 5 clients represented 48% of revenue, up from 37% last year. Our top 10 clients represented 63% of revenue compared to 52% last year, while our top 25 accounted for 75% of revenue compared to 69% last year. To support our revenue growth, we added around 250 heads in Q4, closing out the year with 9,500 staff, up from 8,470 at the end of 2011. In addition, we added approximately 550 heads with our acquisition of the clinical division of Cross Country Healthcare, leading to approximately 10,050 heads at the present. In quarter 4, group gross margin continued to improve to 36%, up from 34.8% in Q4 2011 and up from 35.8% in Q3 2012. For the full year, group gross margin was 35.6%. SG&A leverage continues, amounting to 24.4% of revenue in Q4 compared to 27.6% in Q4 2011. On a full year basis, SG&A equates to 25.2% of revenue compared to 27% in 2011. Operating income was $24.4 million, an operating margin of 8.1%. For the full year, the operating margin was 6.6%. Also in the quarter, EBITA was $25.9 million or 8.6% of revenue. The interest charge was $278,000 in the quarter and the effective tax rate was 14%, a little lower than expected due to the quarterly geographic mix in our revenues. Looking ahead, we continue to model long-term tax rates between 18% and 20%. Net income in the quarter was $20.7 million, equating to EPS of $0.34. The lower-than-expected tax rate added about $0.01 to $0.015 to EPS, but this was offset by costs associated with the lifting of realignment that occurred during the quarter. On a full year basis, EPS equated to $1 per share. Turning to the balance sheet, DSOs were 40 days compared to 47 days in the same quarter last year. At the end of December 2012, net cash was $190 million, up $10 million from September. CapEx for the quarter was $8.4 million and we've spent $3.8 million on earn-outs related to recent acquisitions. I'd like to hand over now to Ciaran to talk about the business environment and our strategic plans and outlook.
Ciaran Murray: Good morning, everyone. I thought I'd start today with a brief review of 2012 and look at how our performance there positions us as we go forward into 2013. For 2012, we guided that our revenue would grow by about 15%, our Q4 exit margin would expand to between 8% and 9% and our earnings would be somewhere between $0.90 and $1.10. I'm happy that we achieved those targets, revenue growing 18%, Q4 exit margin was 8.1% and our earnings for 2012 were $1. This is a milestone year for ICON, the first year where our revenues exceeded USD 1 billion. It's also [ph] the year of record net bookings of $1.6 billion, which is a book-to-bill of 1.42 and the strong booking number meant that our backlog grew by 20% to close the year at almost $2.8 billion. I was also pleased that all of our business units reported profits in each of the 4 quarters of 2012. We continued to enhance our capabilities this year in line with our strategic plan and we closed 2 acquisitions, BeijingWits to increase our scale and capabilities in China, and PriceSpective to fit with our forward [ph] consulting capability. We also continued to invest in our differentiating innovative technologies and fully developed our biosimilar and biomarker offerings. We also continued to see the benefits of the leverage coming from the cost base to our new global business services model. ICON is a people business and a number of initiatives in 2012 were undertaken to increase the investment in our leadership and talent to make sure that we continue to attract, develop and retain the right caliber of professional staff. We've developed the ICON Business Academy in partnership with Smurfit Graduate Business School at the University College in Dublin to fully develop our management capabilities. And we're also developing a number of clinical post-graduate programs for our staff. And finally, in 2012, we aligned our listings in to have our ordinary shares fully listed on NASDAQ. So what does all of this mean for 2013? Well, as a result of this progress that we've made in 2012 and the level of bookings and backlog growth, we entered 2013 with some momentum and a 12-month forecast revenue coverage of 77%. When we look at the market, the shift in it towards more outsourcing through strategic relationships is often being discussed on these calls. We see that trend continuing as we work with existing and potential partners to bring innovation to the drug development process, to reduce cycle times and costs and improve the quality and productivity of drug development. While the development of these relationships may require some short-term investments, we believe that in the longer term, there results in benefits for both ourselves and for our customers. We are at peak flow, for our transactional business also continues to be healthy. We will continue to execute our strategic plan of 2013 to ensure that we have an organization with the right scale of geographic coverage, range of services, leadership and talents, to deliver differentiated and competitive high-quality solutions for our clients. We aim to provide these solutions under a range of flexible models. And with that in mind, we announced today that we have closed the acquisition of the clinical trials division of Cross Country Healthcare. This acquisition gives us successful contract resourcing and FSP division, DOCS, a truly global footprint by significantly increasing its U.S. presence. The combined organization will be a top-tier global player in this space. At our Investor Day in December, we've provided 2013 revenue and earnings guidance. Today, I would like to update that guidance to reflect the impact of the acquisition. For 2013, we now expect our revenue to be in the range of $1.26 billion to $1.29 billion and our earnings per share to be in the range of $1.44 to $1.60. Before we move to Q&A, I would like to take this opportunity to thank all of our teams who contributed to such a significant and successful year for ICON and to welcome our new team members who joined us from Cross Country Healthcare. Thank you, everyone, and I will now hand back to the operator for questions.
Operator: [Operator Instructions] We'll take our first question from Sandy Draper from Raymond James.
Alexander Y. Draper - Raymond James & Associates, Inc., Research Division: I guess the first question is just a detailed question. On the -- is Cross Country in the backlog number and in the backlog expected to earn over the next 12 months? Did you put that in there or since it closed in the first quarter, will we see a change to the backlog when we see that in the first quarter numbers?
Brendan Brennan: It's certainly on -- when Ciaran referred to 77% from backlog over the next 12 months, Cross Country would have been included in that number, Sandy. So we won't see a massive uptick.
Alexander Y. Draper - Raymond James & Associates, Inc., Research Division: Okay, great. That's really helpful. Second is, can you give us the details on the segment breakouts in terms of revenue and margins for Central Lab and clinical research? Is that something you guys are going to -- are willing to talk to right now?
Brendan Brennan: Yes, absolutely. The Central Lab did about $23 million in the quarter and they did about 4% operating margins, so similar to their prior quarter. And then obviously, the balance of the business is -- I'll let you do that math on than that. You can see the numbers clearly in terms of what the total business was. But good progression in the rest of the business.
Operator: Our next question comes from Eric Coldwell with Robert W. Baird.
Eric W. Coldwell - Robert W. Baird & Co. Incorporated, Research Division: I was actually going to ask on the Central Lab as well, and maybe I could just have a quick follow-on to Sandy before my question, which is the -- could you give us a sense on what the bookings look like in Central Lab in terms of mix of net and cancels?
Ciaran Murray: I can, Eric. It's Ciaran here. In the fourth quarter, gross bookings in the Lab were nearly $30 million. So they had a strong quarter in terms of winning [ph] new business, which continued the trend that we've seen throughout the quarter of last year for the Lab. However, they did pick up one large cancellation in Q4 and also, with it being the end of the year in the lab, we tend to take a very rigorous view of going through the backlog and cleaning it up. So we will report or we're reporting a net bookings number of $3 million, which means that the book-to-bill for the year in the Lab was about 1.1.
Eric W. Coldwell - Robert W. Baird & Co. Incorporated, Research Division: Did that change your outlook for the mix? I mean, I assume it does change your outlook for the mix of Central Lab versus clinical, the rest of the company, as we go into '13. Could you give us a high-level thought on how you see Central Lab growing and where you could see the margins heading in 2013?
Ciaran Murray: Yes. It's -- [indiscernible] it doesn't really change our outlook for 2013. If you recall, we talked on quarter 3 about some of the work we were doing in the Lab to continue our sort of housekeeping and taking out the kinks that we've seen there in the past. So we were sort of positioning for this level of growth throughout quarter 4 and would have been reflected in what we guided back in December. So when we look at 2013, I think what we can see is that revenue growth will be modest and coming off the years book-to-bill of 1.1. I think the revenue growth will be in the maybe mid-single digits for the last. But part of that reflects our sort of concentration on margins. So we would expect, certainly in the first half of the year, margin to be in the region of 6% to 7%, which is recovering from the low points that we've seen in Q3 and Q4. So we'll see some pick up. But we're certainly positioning the Lab for the level of controlled, high-quality growth. I think if you look at where the Lab has come from, the trend over the past number of years and back in 2010, the last one is $13 million. And back in 2011, they posted a losses again of about $3 million. And this year, with modest margin performance, they'd made a profit of about 5, so a turnaround of $8 million in last year. So we're going to continue that steady progress, continue to make sure we invest appropriately in the quality and the delivery and continue to work on growing the backlog. So as steady as she goes, but modestly improving margin here is what we expect at the Lab.
Operator: Our next question comes from Dave Windley from Jefferies.
David H. Windley - Jefferies & Company, Inc., Research Division: So starting with strategic deal discussions, I'm wondering if you could elaborate a little bit on what the state of play is there, kind of pace of discussions that you're having. And then to dovetail off of the last couple of questions, if you could talk about any increase in the cross-selling of the Lab into those either existing or new strategic deals, I'd appreciate it.
Ciaran Murray: I mean, strategically, the discussions are sort of ongoing. There's not much I would add to what we spoke about either on the last earnings call or on the Investor Day in December. I think they sort of probably fall into 2 categories when you look at it. With your existing customers, we're constantly working on trying to develop these models to look at the scope of them, to provide innovation and help our customers. So the constant dialogue around the business that you already have, why you're going to take it, how you're going to work for the customer and drive continuous improvement for their integrated -- and we work together on technology and on process and standard operating procedures. And that's going well, there's always plenty of interesting challenges in clinical development. But those discussions are good and constructive. I think the tone of them sort of support the feeling that, that is more of a partnership approach that we work together. And then at the broader market, I think it's fair to say that with the well discussed and documented pressures on biopharma companies in terms of cost management and productivity and quality and regulatory hurdles, there's quite a few discussions ongoing in relation to how people would approach this and how they'll select suppliers on what way they want to work and what particular models. But these are long-term transformation change management programs. So I'd say the discussions are good, there's plenty of them. There's plenty of interesting things to talk about. But they've been ongoing for some time and I consider that they will continue to be ongoing and it's sort of a permanent feature of the evolution of these models. As for cross-selling in the Lab, I think last year was a good year for Lab. Part of the success that's come from turning around from the low points in 2010 was building the decent backlog. I think the backlog, we'll going to have -- adds over $200 million, and some of that, it's from cross-selling through our strategic deals. And I think -- but I see more opportunity there, I think, as we stabilize the Lab performance that we've done and we integrated them more closely with our colleagues in clinical and I see plenty of opportunity there with some of our other clinical customers to try and harvest the relationship and drive volume through the map as we look forward.
David H. Windley - Jefferies & Company, Inc., Research Division: So my follow-up to talk about your acquisition of Cross Country Healthcare. I'm assuming you fold that into the DOCS unit. But if you could confirm that and talk about how having the staffing business does or does not help you in according -- well, in flexing, I won't try to pronounce that word, in flexing your staff up to meet the needs of the core clinical business. Are you able to use your DOCS staffing business to do that? Or are they already claimed on client projects such that you have to go outside of the organization for contractors?
Ciaran Murray: Well, Dave, I suppose the answer to your first question, possibly your third now, is that it is in the DOCS business, Dave. Part of -- the rationale here is the DOCS had strong brands, we acquired it, I think, in about 2006. They have a strong presence in Europe and some presence in the U.S. through a previous acquisition back about 2002 of ICS. And then, we've been growing our AsiaPac and offering for DOCS organically over the last 18 months or so. So the acquisition of Cross Country managed the scale of the U.S. footprint of DOCS. So it isn't a change to anything that we do, but it goes into the DOCS division and gives them full global reach at a certain scale and provides them with sort of a good compelling offering for our clients there with a global footprint and the mix of the top tier player. I would say, since the start of [ph] business is a little bit of both of what you say. I mean, our history with DOCS. So nothing is going to change here, it just gives us a bigger arm in the U.S. But our history with DOCS is that they successfully recruit and perform their own contract staffing and the FSP model business for their customers. And we also use them as a recruiting engine to actual clinical staff and we've been quite successful at that. But we also recruit contractors and clinical staff outside of DOCS. I mean, it's a competitive market, we're always on the hunt for talent. We've added organically over 1,000 people in 2012. We probably have to see them against the quarter growth in 2013. So it's a very useful source of good quality staff for us. But it's not exclusive. We also recruit in the market base. But we find it -- it has worked well with DOCS in the past and we're looking forward to giving us a boost to some of our recruitment efforts in the U.S. in 2013.
Operator: Our next question comes from Tycho Peterson from JPMorgan.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: First one, I just want to follow-up on Dave's earlier question on the strategic. You had highlighted at the Analyst Day maybe more interest from small to midsize biotechs. Can you comment on your outlook there, in particular among the biotech customers?
Ciaran Murray: Yes, I can, Tycho, and it's pretty much the same story. We're in discussions with a number of midsized and smaller pharma. As they're looking at [indiscernible] strategically have been driven by large pharma. After settling down and people have seen how they work, we've seen more interest from the middle market and we continue to see that and talk to people. But I think it's a [indiscernible] to deal with these things. They move slowly. And our history in some of these deals is that the discussions can be ongoing for quite some time. A lot of people work at exactly what models they want and how they want to implement the change and the transformation program. And we've had a good [indiscernible] second half of the year. I think we were successful in broadening our wins. We were happy with some of the progress we made in biotechs. But our work in the biotech sector has been more transactional over the last couple of quarters.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: And then if we go back to the Analyst Day, you guys obviously spent a lot of time talking about the IT investments. As we think about ICONIK and Firecrest and some of these other initiatives, I guess, for starters, are you starting to see them drive larger wins? And then ultimately, how do we think about the flow-through to the bottom line from some of the incremental IT investments?
Ciaran Murray: I think, if you look at 2012, it was our biggest year of business wins ever. It was $1.6 billion. And I think that's a reflection of our success and winning certain strategic accounts. But winning those through, having innovative tools and leveraging information to help take cycle time and cost out of the development cycle to help improve quality. So I think they'll continue to do that, but that sort of points the fact that those 2 have been helpful in the past year in driving the business wins. When it comes to margin, I think we haven't seen a significant impact on the margin profile of that business. They're still in early days. And as we look forward, I think they will enhance margin as we deploy technology and we do it on more scale and perhaps a broader footprint. But then, of course, they'll also take time and cost out of development for our customers, so we could also see them cannibalize some of the revenues to some point as well. But our experience so far is that they're helping us win large volumes business and are delivering margin around the normal profile of margin. They're not significantly changing.
Operator: [Operator Instructions] We will now take our next question from Todd Van Fleet from First Analysis.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: As we look to margin improvement over the course of 2013, just thinking about the interplay here between the gross margin and the balance of the P&L, is it likely that we'll see the margin improvement come through leveraging or rather, I guess, improvement in the gross margin or will it be more in the SG&A side? I guess I'm just thinking in the context of the acquisition here or a maybe slightly different mix to the revenue. Just what are your thoughts on that?
Ciaran Murray: I think it will come from both. I mean, if you look through 2012, I would characterize 2012 that we stabilized some of the business in 2011. And in 2013, we will consolidate those gains. So last year, we saw an improvement in gross margin. I think it was about 34.8% at the end of 2011 and moved through to 36% for the end of 2012, but our SG&A moved from about 27% to 25%. So I think we'll continue to see both of those things occur this year. Our margin, gross margin will increase gradually and modestly throughout the quarters -- this quarter, and we'll continue to get leverage. I think, you look across the country, it's not a full year's revenue. So I think on our guidance, we have assumed between $48 million and $52 million out of about nearly $1.3 billion in the revenue play. I don't see it having a significant impact on the margin mix at that level.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Ciaran, just one more then. How much of the margin improvement over the course of this year do you expect to come as a result of just general maturity of some of the larger strategic deals that the company has been involved in over the past couple of years versus just maybe ongoing efficiencies that you're bringing to the business?
Ciaran Murray: I'd say it's a little bit of each and then it would be impossible to parse that, that line [ph] to complexity of the equation. But you have improved efficiencies, that should settle down and certain strategic accounts. But then, we're constantly winning new business. Our trailing book-to-bill last year was 1.4. We're expecting revenue to increase somewhere between 13% and 16% next year. So there will be efficiencies coming from strategic accounts that have been ongoing and there will be inefficiencies, as you said, a few ones and we do new work. So I think we look at it more holistically here and gross margin is driven by how much you would probably employ -- deploy technology and metrics and measure performance, and it also depends on the mix of our business. We're operating there and we've offices in over 40 countries. We operate a lot more than that. So a lot of moving parts to that, Todd. So I think what we say is that we're driving process change and efficiency throughout the organization and that's what -- accretes the gross margin and I wouldn't like to parse it down any further than that.
Operator: We'll now take our next question from Ross Muken from ISI Group.
James Clark: This is James filling in for Ross. Just wanted to touch on -- if you could touch on the OM expansion from a division perspective a little bit?
Ciaran Murray: Sorry, I missed that question.
James Clark: So you spoke about the operating margin expansion. I'm wondering if you can give some color between the 2 divisions, specifically?
Ciaran Murray: I think I said I'd expect the Lab to be between 6% to 7% this year, expanded modestly from where it is and clinical is the balance.
James Clark: On a going-forward basis, can you provide any color?
Ciaran Murray: Not really more than that, no. I mean, our expanded margin modestly quarter-to-quarter, I think that's supplied in part of the guidance. And of course, if you look to 2012, we expanded operating margin quarter-on-quarter. We won't expect the expansion to be as aggressive this year, it will be much more modest. But I think if you look at the last -- it's the business that does $90 million or $100 million out of the total $1.3 billion, which is clinical. So it's -- in terms of mix, it has very modest impact so that most of the margin expansion that will come next year will come through improvements in the clinical business.
Brendan Brennan: I'd be -- just [indiscernible] the implied margin in our guidance is in around the 8% to 9% for the full year '13. So if you're moving then from 6.75% last year to that, you'll see, as Ciaran pointed out, steady quarterly progression.
James Clark: Okay. And then if I could just quickly -- sort of bigger picture-wise, you've seen some of your competitors setting a slowdown in business development. And this isn't really obvious in your bookings this quarter. I was just wondering if you could talk about sort of where you're seeing outsize strength within the business?
Ciaran Murray: We're seeing what, sorry? I didn't catch the question there.
James Clark: I was wondering what's driving the strength in bookings for the quarter and sort of relative to...
Ciaran Murray: Nothing in particular. I mean, if you look at the course of last year, it was actually weaker than the previous 3 quarters. But that being said, it was still in the previous Q4. Q4 is often a quarter where people defer decisions, they also see lower bookings, obviously, lower calculations as well, the observations [ph] are deferred. And there's no particular factor that drove the bookings in the quarter and nothing different from what we've seen throughout the course of the year of working on a strategic accounts in our transactional business and harvesting them. So I wouldn't point to anything in particular in the quarter outside of the norm.
Operator: Our next question comes from Tim Evans from Wells Fargo.
Timothy C. Evans - Wells Fargo Securities, LLC, Research Division: I jumped on a little bit late, so I apologize if I'm retreading ground here. But could you talk a little bit about your outlook for capital deployment, specifically on the M&A front and also maybe the potential for share repurchases now that you have officially moved to the NASDAQ?
Ciaran Murray: I think we've sort of said on the M&A front, we are committed to building an organization which helps our customers improve the development effort, to be competitive and that you look at scale and range of services. Traditionally, you [indiscernible] a bolt-on acquisition with certain size. Of course, this quarter, we have spent $65 million or thereabouts on clinical trials, that of Cross Country. And so as we go forward through the year opportunistically, we look at any opportunities that are in the M&A market. But I wouldn't point to anything specific at the moment. Actually share buybacks, well, we've always taken views that we're here to run the business and maximize shareholder value. So it's just part of the equation when we look at growth, the possibility of returns through our investment in running our business versus buybacks. The models will speak to themselves. But there's nothing imminent on that front other than the buyback program that we put in case a couple of years ago.
Timothy C. Evans - Wells Fargo Securities, LLC, Research Division: Okay. I mean, I guess what I'm driving at is you've got a lot of cash on our balance sheet. How are you looking at that right now? Is it something you kind of want to keep dry powder for the M&A? Or do you feel like you could achieve a more optimal capital structure?
Ciaran Murray: I would say we don't have that much cash on the balance sheet. If you look at it, there's about $190 million at the end of the year. Well, the Cross Country acquisition will account for $55 million of that this quarter, about $45 million or thereabouts in contingent payment commitments in relation to the acquisitions we've made last year and some the year before. It goes back to BeijingWits, Firecrest, all of those businesses are performing well. So I would expect we'll be paying that out. And then a chunk of the cash in our balance sheet is from our customers, in advanced payments. If you look at the prepayments line, we always see that it's prudent to make sure that we have cash in order to match the advance payments that our customers have given us. So that's really how they look at it and there's probably not much more to add to it than that.
Operator: Our next question comes from John Kreger from William Blair.
Roberto Fatta: It's actually Robbie Fatta in for John today. You guys had a pretty solid growth on the top line this quarter and then excluding the acquisition, there was really no change to the underlying top line growth guidance that you provided at the Analyst Day. So I was just wondering if you could just remind us what will drive the slowdown that it seems like your guidance implies as we move throughout the year and maybe what that would imply for a contribution from some of your larger strategic partners.
Ciaran Murray: I suppose -- we gave the guidance back in December. There's a billion moving parts, Robbie, and the way we generate revenue with 10,000 people going out every day, billing on hundreds of projects in dozens of countries. So I think, we always look at this in a prudent manner. I think in quarter 4, we had a couple of projects that came through a little bit more strongly than we expected and that was good. But I wouldn't read too much into that as we move through the year. We're sitting here in February -- in the middle of February, a long way to the end of the year. And as we move through the year, we look at the revenue trends and we look what's happening with strategic accounts and we look at what that means for forecast. But at the minute, I wouldn't be pointing to any fundamental change in the assumptions that we made back in December. And we always look at these things and we always forecast them in detail and then, "No plan survives first contact with the enemy" as they say, and off you go throughout the year. So I'd say we'll just watch it as we go through the year and we'll keep you posted.
Operator: Our next question comes from Greg Bolan of Stern Agee.
Gregory T. Bolan - Sterne Agee & Leach Inc., Research Division: So can you talk about the interplay between Central Lab operation with that of the clinical business when it comes to winning new strategic deals? So I guess my -- really, just my question is around, has the Central Lab become an increasingly important sweetener to lock in strategic deals?
Ciaran Murray: Not particularly, Greg, no. It hasn't really changed its profile over the last couple of years. We find -- when you go into strategic deals. At that level, it's about the sum of all of the parts that provide not just particularly the Lab, I mean, [indiscernible]. And I think it's important that we have a full range of services. So that means Phase II to Phase IV, that means good data management, good technology at Central Lab, Phase I clinics, scientific support, biomarkers and genomic strategies, market access and [indiscernible]. But all of those things played a part in that full strategic offering and we find that, that's what's important to the strategic business and particularly, the ability to bring innovation and to look at cycle times and cost and quality of the overall development efforts. So the Lab is an important element of that. But it's just one element of, I think, of the overall offering.
Gregory T. Bolan - Sterne Agee & Leach Inc., Research Division: Okay, that's great. And then I guess just sticking with Central Lab, on the esoteric side of the equation, I mean, any plans to -- with the cash on hand kind of buildout your offerings on the esoteric side of the equation?
Ciaran Murray: We have a fairly decent offering. I mean, it's a single at the esoteric side. It's called esoteric for a reason, so you know. But we have a decent offering between -- our Central Lab footprint is -- we've lasted in the U.S., in Europe, in Dublin, in Singapore, Beijing and Bangalore, in India. So we've offerings across that footprint, particularly at Dublin and in the U.S., in Long Island. And on top of that, of course, then we have our bioanalytical and immunoassay labs up in New York and over in the U.K., in Manchester. So we have a fairly decent panel of esoteric labs. But I think, it's science and it develops. So we have an R&D group that works across them and we have people look at them and keep on top of put us where that kind of test is going, what it means for drugs that are in the development pipeline and molecules. And so we're constantly investing and renewing it. But we have no special initiative attached to it beyond our normal approach.
Operator: [Operator Instructions] We'll now take our next question from Sandy Draper from Raymond James.
Alexander Y. Draper - Raymond James & Associates, Inc., Research Division: Just a follow-up modeling question. Brendan, D&A's been fairly steady here, around 10.6 last couple of quarters, not modulating a lot. With the acquisition, what type of step up should we be looking and thinking about for D&A? And do you have sort of a number for the year that we should be thinking about?
Brendan Brennan: I think we'll see a mix of things happen. There'll be some amortization obviously come on for the acquisition and I would imagine that will be in the circa $100,000 to $200,000 a quarter. But we should see some falloff during the course of the year, as well, Sandy. So I don't think it will be massively moving. It will trend up initially. It might come back a little bit towards the back end of the year. So as I said, a couple of hundred thousand initially, but somewhat our intangible assets will amortize during the course of the year.
Operator: Our next question comes from Tim Evans from Wells Fargo.
Timothy C. Evans - Wells Fargo Securities, LLC, Research Division: One quick follow-up. Did you guys put a hard number on what your margin would have been in the quarter if you exclude the legal fees, anything that was really one time?
Ciaran Murray: I think it would have been about 20 or 30 bps higher, Tim.
Operator: [Operator Instructions] We'll now take our next question from Dave Windley from Jefferies.
David H. Windley - Jefferies & Company, Inc., Research Division: I wondered if there's been some questions on margin, but in terms of long-term expectations, I think you've talked about a model that would have gross margin overall at about 40 and EBIT -- EBIT moving to double digits, with SG&A targets in the kind of lower half of the 20s anyway. I wondered if you could comment, broadbrush about how you see the margin structure evolving in the long term.
Ciaran Murray: I mean, I think what we've seen is as scale comes along, we drag certain efficiencies, and constantly looking to optimize, how we deploy technology to take on [ph] resource. So I would just say, over the long term, we'll modestly expand, as that gross margin right in the way we've been doing, it's kind of just more of the same and efficiency, resource planning, the leverage of scale and the benefit of scale and the global business model on the SG&A side gives us opportunities to consolidate and offshore and maximize efficiency. So I think it's just steady as she goes. I think the point is that -- and our business progresses, it's relatively slow. And we've seen 2012, we may agree to do rapid progress but coming off a little bit. We won't minimize that. And as we look forward into 2013, I mean, we've guided further significant increase in earnings, but it's been driven by small, incremental gross margin increases, I mean SG&A decreases, very much a game of interest and keep on doing more of the same thing. Our revenue comes from a deeper model. So there's no silver bullets to do things quickly. And I just see it's continuing to play the game of interest. And quarter-from-quarter, the gross margin needs to improve modestly and the SG&A needs to come down. So I have nothing really beyond that.
David H. Windley - Jefferies & Company, Inc., Research Division: So a follow-up then, Ciaran, I think coming into 2012, you talked about a corporate overhead number, somewhere in the mid-$100 million, $150 million, $160 million kind of a number that was corporate and I presume probably also encompasses some of this regional support, service centers that you've established and that in 2012, you expected to be able to hold that constant. Were you successful in that? And can you give us a sense of helping to drill in a little bit further? Is that something that is a stable number in 2013 as well or grows a little bit but slower than revenue or how should we think about that? And how do the kind of the technology rollouts and the service center development, where do those fit in that progression, kind of what inning are you in relative to moving to that regional support center model?
Ciaran Murray: I think, Dave, in 2012, we were successful at holding the central costs pretty flat. As we move forward, we're still looking at top line growth in double digits. So we'll see increases on our support costs. But those increases will be much lower than top line growth. So single-digit, mid-single-digit costs of increase. The technology stuff, well, that's just the bread and butter of how you run finance and HR. You've pretty decent systems in there. I think if you look where most of our technology focus, I mean, it's actually at the front end of the business in terms of development pipeline. We have our ERP platforms in place and it covers quite a lot our support functions and we're enhancing our HR kind of systems and upgrading them this year. But it's just business-as-usual, that's what you do when you're running support costs. And I think the kind of major initiatives would took place over the previous few years and that's just about a question of running the model and how we reinvent cost and getting the benefits of some of the platforms that we put in place.
Operator: That will conclude today's question-and-answer session. I would now like to hand back to the speakers for any additional or closing remarks.
Ciaran Murray: Okay. Well, I'd like to thank everyone for taking the time to join our call today. We look forward to continuing to make ICON the global CRO partner of choice for our biopharma customers in the industry through 2013 and beyond. And we're going to remain focused on professional execution and in deliver of best-in-class information solutions and performance to assist our customers and improve development initiatives. Thank you very much, everyone.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.